Benoit de Ruffray: Good evening to you all. Thanks for joining us at this meeting presenting the 2024 Annual Results of Eiffage. I'd also like to acknowledge Board members, company executives who've joined us this evening. Allow me for that matter, to begin by warmly thanking Philippe Nourry who having spent 2.5 years in the Company will be retiring at the end of this week. After a career in our road businesses until he became General Manager of [indiscernible]. He was chosen as senior executive by Jean-Francois Roverato to head up APRR and AREA in 2006 after the privatization here companied the businesses of Motorway Concession as up until the present days. Philippe always went to great pains to give detailed answers to your first traditional question on traffic forecast. And I'm sure you'll miss his very detailed and loquacious answers. Camille Bonenfant-Jeanneney succeeded him yesterday as President of Motorway Concession. She's with us this evening. Camille, would you like to briefly introduce yourself?
Camille Bonenfant-Jeanneney: Good evening. I'm delighted to be with you this evening and very honored to have joined the Eiffage Group early January. Well, in a few years, I've been working for some 20 years. First half in the European institutions in Paris, Brussels and then network companies, RATP and ENGIE, the utility worked on other infrastructure and concessions businesses. And I got a first taste of motorways being an independent Board member of [indiscernible] before joining Eiffage. Thank you, Benoit, for your confidence. It's a first for me. I'm sure that I won't be on a par with Philippe when it comes to traffic forecasts.
Benoit de Ruffray: Turning now to the highlights. 2024, once again, a very strong year both in terms of earnings as well as order intake, these good results. What's more were accompanied by extremely good cash flow generation. Order intake 2023 ended with a record order book boosted by the entry into order of the two major contracts of the EPR 2 of Line 15, East of the Greater Paris express bringing a major scale change to our order book. 2024 is marked by the acquisition once again of some major contracts that strengthen visibility in Europe, but also in Energy Systems and Construction business lines. Business franchises remain very active, and we can even note the stabilization, indeed at the low point of new housing, the order book at the end of '24 ends up 11% over the record level at the end of 2023, but it's even more solid because its growth both in volume as well as debt. Now covers all the construction businesses of the group. And it doesn't integrate the balance of operations that haven't yet got underway the Nove project. And the future strengthening of works currently underway for Amprion and Rail Baltic representing several billion euros for the out years. So a few illustrations of our recent order intakes on the back of the success of the project for the Paris-Saclay Hospital. We won a new contract for the design, build, operation and maintenance of the University Hospital Campus, Greater Paris North at Saint-Ouen. Work will begin in the spring of 2026 after a design period of 17 months, to be delivered at the end of '29. Only the design contract is included in the order book thus far. Another major contract won by Eiffage construction in consortium, the extension and restructuring of the Henri Becquerel Center, Home of the 18 French center specialized in the fight against cancer for an amount of €72 billion. It comprises the construction of a new building, a bridge building on three levels to establish the link with the existing structure. They will be renovated. Work undertaken and occupied side, so as to continue to care for the patient's delivery planned in 2026. In Poland, our teams between now and July 2026, will build the Soneta office building for Enova in Krakow. It's aiming for very good green certification. In Belgium, we're going to build in a consortium, the Realex project at the heart of the European district in Brussels. This is an also comprised in the future conference center, the European Commission office area and retail space. The group that is anchored in its territory has always been present in niche markets in ski resorts. Eiffage Immobilier is building a residence at the [indiscernible] center with 78 apartments and high-end services, work will begin in May this year following the end of the ski season, Eiffage remains very involved as a private developer for over 40 years. Development is a key lever to secure long-term land and to highlight the innovative solutions of the group. It allows us with local authorities to boost city centers or to create eco districts. The development plan here at Saint-Apollinaire over some 40,000 square meters guaranteeing better access to social and health services benefiting all local inhabitants. In 2024, we won 11 major contracts in offshore wind, bringing the smulders order intake to over €1.1 billion. These contracts strengthen the position of Eiffage Metal as European leader on the turnkey market for metal structures for wind. There's the platform and jacket foundations to electrical substations as part of the offshore wind farms, Baltyk 2 and Baltyk 3 off the coast of [indiscernible]. Second contract for the manufacture of 100 transition elements on the same fields. Other example, the foundations of the future power substations of the offshore wind farms. [indiscernible], a normal [indiscernible] structure, will weigh around 7,000 tons and support a power conversion substation of capacity of 1.25 gigawatts. Spanish and French teams are continuing to expand in photovoltaic. They won 158 new plants in 2024 for over 1.5 gigawatts. In Germany, Salvia is undertaking all the technical work on the office building and retail space. [indiscernible] contract for €50 million as well as the [Q] office building in Nuremberg for some €43 million. Let's not forget the major contracts that I mentioned to you last August, the unique side of the Interior Ministry and Saint-Seine for some €700 million. Civil engineering of the future project linking Rhein-Main for Amprion in Germany for some €2 billion retained share, 600 kilometers of work supporting power cables, transmission cables from the North Sea offshore wind farms to the Rhein-Main region. Also supply and installation of the 24 diesel backup generations, projects of 6 EPR 2 nuclear reactors at Penly, Gravelines and Bugey for some €900 million. And Eiffage construction, the new motorway Link A412 over 16 kilometers between Thonon and Machilly [indiscernible]. The year 2024 was also very dynamic in terms of revenue, both in concessions as well as construction. As you've seen the last quarter posted growth in the construction division that offset the declining revenue of this business line full year. All in all, the group is delivering a year of dynamic growth, plus 7.3% revenue growth, 7.5% in construction, 6.5% in concessions. In Works, organic growth reached 3.5% in spite of the contracting property and housing market in general, external growth in works more dynamic in 2024 brought in a contribution, some 4%. On screen, you have a summary in volume of the external growth transactions of these past few years. In construction, our efforts in accordance with our strategy focused on energy service business, a group in its target countries at the heart of Europe plans to be a market consolidation player buoyed by the major transitions of the green and digital transitions. The highlights of 2024 without doubt, our strengthened presence in the Netherlands, but above all, our total change of scale in Germany. As mentioned in August, the acquisition of Salvia and EQOS combined with the historical German structures, where the group allows us to now address all energy service markets across the country and what's more to have a fine footprint in Austria. Eiffage Energy Systems in Germany, hence forth numbers over 4,500 employees. Organic growth was also present in 2024. Let's just review some projects that illustrate the dynamism of all our business lines shown here is the athletes village that came into the adaptation phase of the housing units initially designed for the Paris Games in order to transform into family housing and offices. This is part of a circular economy initiative. 75% of materials from the games reutilized. In its new configuration, it will comprise 527 housing units, offices and shops. Our teams restructured the former Liqueur Mint alcohol distillery at Saint-Quen to turn it into the new head office of the Paris region office of the construction build. It's characterized by its high energy and green performance, which seeks to become the first tertiary project of its size in concrete structure to achieve higher certification level. The distillery is also an example of renews reason deconstruction of the former building, conservation of the use of bricks, recovery of materials with the input of materials from surplus stocks of other work sites. Fine illustrating on screen with the auditorium built with the seats of the [indiscernible]. In Poland, we, as general contractor of process, we built a filling and storage plant for gas. Air Liquide, we launched the major refurbishment work of the Cristallis project. Three main buildings to extend and raise one of the buildings, replace the facade the engineering works foundation, strengthening and restructuring of the concourse. These past few years, I mentioned the start-up organically of the real estate business in Poland. This activity is now growing strongly. And ensures quite a substantial part of the works activities of our Polish subsidiary. Post approve, this is illustrated on screen in Warsaw with a 430 housing units as well as this residents two building with 144 apartments in Poznan. EPR 2 is a partly management and design team, some 300 people mobilized tour at Leon, the Paris region as well as [indiscernible]. There's also over 700 workers who are busy on the site installations and the beginning of the earthworks on site, as you can see on the screen and support of the logistics necessary to host the many workers who take part the constructions of the EPR 2 Penly. Eiffage e-Immobilier with Eiffage Civil Engineering has applied for planning permission to build in a radius of 10 kilometers of the Penly plant, a first branch a 480 modular housing, adaptable and temporary with a shared living spaces on the Greater Paris expressed a major contract for Line 15 needs for some €2.54 billion has entered the works phase after over-year. Design phase, still in engineering, the work of the Toulouse Metro with the building of some 3.85 kilometer tunnel, three stations and four ancillary structures. Continuing on screen, the descending cutting wheel of one of our tunnel boring machines wearing the local colors. The A3 Autobahn in Germany essentially lane widening works achieved under traffic by each section in both directions, four sections out of eight have been completed and the latest handovers are underway, so as to finalize this project early in 2026, still in Germany, where we possess strong rail expertise. We're undertaking the renovation work of the rail link at the Potsdam appliance in the downtown area of Berlin in Norway. On the E18 water re-project, our team are busy, the [indiscernible] marking the end of the digging phase and the beginning of the paving phase, also the first launch on the [Grandland] bridge in the U.K. If our civil engineering teams continue to work on the HS2 rail in early February, Eiffage Metal successfully completed the largest launch on this project. For days were required to position the 350-meter metal deck and 4,500 tons of the small [indiscernible] above the A413 and runaway line. Eiffage Metal in continuity, of the Louis Vuitton Foundation and LUMA Foundation in Arles is building the envelope of the LVMH talents heritage building near the [indiscernible] Paris designed by Frank Gehry in Paris after the pilot park [indiscernible], three other floaters on our manufacturing site of [indiscernible] will be delivered in 2025 as part of the pilot project, a floating wind bands in the Gulf of Lion [indiscernible]. Portugal designed a new steel structure for the first Agrivoltaics on vineyards in the -- developed by San-O-Agri within Eiffage Concession. There's innovative solution producing low-carbon PV energy as a company agriculture in the face of climate change structures. The activities for renovating bridges and train stations remain very active in Germany, such as Berlin Train Station, SCH is renewing all the metal structures and the ground ceilings. Is still borne by a territory development of collective urban transport. Our teams have taken part in virtually all the tramway projects and bus, a high level service for bus projects over the past 20 years throughout France. And here on the chart, you see the future line five of the multiple tramway. The road business also draws its strength from our quarries and industries. Our quarries like the one of [indiscernible], which you see on the slide, have worked on their carbon footprint. They also produce the vital ballast for rail infrastructure. These are also sites that are undergoing transformation to use materials from the surrounding area contributing to the establishment of the circular economy in the regions. Looking at industry, many investments have been made in order to modernize our production stations in order to increase the recycling level up to 70% and reduce significantly CO2 emissions required for the use of -- for the manufacturing of our coverings. You see here our new plant in the Madrid suburbs that we've just inaugurated. On the EO project, further to the extension of our [ER line] each towards the Western Paris [indiscernible] Systems delivered in 2024. All the electrical units, the high-voltage units as well as low-voltage work in order to ensure the proper functioning of the escalators, lifts and architecture lighting as well as ensuring the safety of the -- of travelers and of the whole structure. Eiffage Energy Systems, a European leader in photovoltaic structures continues to grow with many construction markets. In 2024, 157 plants producing 1.5 gigawatts were connected to the networks. On the screen, you see two Spanish examples. The QBS plant representing 35 megawatts in [indiscernible] Grenada and the Lorca Solar plant producing 386 megawatts of power in Southeastern Spain. In both instances, Eiffage Énergie System will be in charge of the operating and maintenance for a 20-year period. Again, in Spain, our teams established electrical installations of the industrial logistics hub. For Airbus in [Auto City], the project concerned low-voltage electrical works in an industrial site with four logistical cells. Our facade, contract of Goyer has just completed a major phase on the renovation project of the Ariane Tower, which is on the base of La Defense. Work was undergone while this site was occupied. We've contributed to enhancing the use of materials from deconstruction and our Polish teams, therefore have just completed the largest contract in their history with the facade of the Bridge tower with 40 stories, [170] meters, 5 meters high in the center of Warsaw. And of course, we're extremely proud to have contributed to restoring Notre-Dame Cathedral in Paris to the success of the extraordinary project that was made possible through the know-how and cooperation of Eiffage Energy Systems involving IT, installation, safety, the technical management of the building AC, heating, ventilation systems, the Fire Safety system and [indiscernible] for the masonry work. On Motorway Concessions, notwithstanding economic uncertainty and industrial action by our farmers at the beginning of the year, traffic remains stable across the network. And it was higher on our more recent concessions such as ADELAC and the Millau Viaduct. The A79 Motorway has continued to develop with impeccable functioning in free flow mode. Misunderstanding over the concession business model continues to provoke debate with a lot of untruths even though it has become extremely self-evident that when a new auto motorway is established with the proof of A79 and A412 that were completed without any public financings. However, in recent years, our Motorway Concessions have consistently faced criticism, which unfortunately has already led to a new motorway tax, which is contrary to the contractual commitments made to ensure the fiscal stability of our contract. So it's down to us to prove through the quality of our service to our clients and the impeccable state of our infrastructures that the concession model or the public private partnership PPP model is relevant and that as a partner of public authorities, we can ensure proper maintenance of the infrastructure and invest the required capital to contribute to stepping up the Eco transition. After 18 months of work, we have inaugurated the third motorway [diffuser] established on the A6 and motorway north of [indiscernible]. This development will enable better management of traffic, smoother traffic flows at local level. And looking at services, our teams mobilized during this winter holiday period in order to respond to peak periods on our service areas with recharging stations -- recharging points, additional recharging stations to the 848 existing stations have been deployed in key areas, fully has teamed up with Edenred in order to complete its service offering by including a multi-brand fuel card. This card enables access to the largest network of low-cost petrol stations in France representing over 4,300 petrol stations as well as better control over expenses for business travel and the providing provision of pro management platform of all services. We have a electric corridor for HGVs and coaches on the Paris [indiscernible] access. We have celebrated with the city of Millau and the [Avion] department, the 20th anniversary of the Millau Viaduct. This celebration was held throughout September with highlights such as the flyover of the Viaduct by the [Viaduct], France, and we were greatly honored to have them with us once again. The Nove project through the Defense Ministry and its [indiscernible] plan is developing. Nové has renovated and delivered approximately 300 housing units since the launch of the concession in 2022. The peak in the activity is expected in 2025 and 2026 with approximately 600 new units and 2,000 renovated units to be delivered by the end of this year and over 3,000 by the end of 2026. Nové still represents €1 billion of work that have not yet been included in Eiffage Construction's order book as published at the end of 2024, which -- this work will be completed by end 2029. Eiffage concessions is completing the modernization of the port of [indiscernible]. In order to complete this major project, the group has involved several of its businesses. The full implementation of the infrastructure is planned by the spring of '25. And if I may, I would like to dwell on five pillars of the group strategy. Pillar number one, the increase in the relative share of the construction businesses, organic growth underpins civil engineering, metal and energy services. The latter also enjoy the contribution of external growth that has stepped up. In four years, our Energy Systems division has risen from 30% to 37% of our construction activity and 40% to 50% of its operating income. The second pillar is the continued European development of the group in construction. 2024 through the acquisition of some major contracts, which strengthened our visibility in Europe, with only 4% of its activity. Outside Europe, and business outside France, that has grown from 32% to 40% over the past four years. It's the growing presence in Europe of the construction businesses with the group that continues. This growth outside of France has taken place of -- with a dynamic underpinning momentum of over 15% over the past four years. Third pillar is the strengthening of our concession portfolio. It is essential that we create new concessions that will take over -- over time from those that are due to expire, particularly APRR and AREA, which are expiring in 2035 and 2036. The strengthening will be done in four complementary manners, new concessions that we have won through tender such as Nové, the A412 and the Port of Lome, extension of the duration, acquisitions and our increased share in the capital to start looking, for example, at getting by [indiscernible] to taken to 2026. Fourth pillar, carbon strategy. 2024 confirmed the decline of our CO2 emissions and of the carbon intensity of our revenue and CDP climate has raised our rating to A- recognizing our commitment and efforts. The fifth pillar is our extraordinary collective adventure over the past four years. Our head count has risen from 73,500 to 84,400, which is up 15%. We have managed to preserve the compact structure of our organization, which facilitates the work between the businesses and enables us to extract the value that our clients expect from us, as well as our culture, our entrepreneurial spirit and are anchoring in the regions of the country where we have a strong presence. We can indeed take pride in the work that has been done over the year by the group's employees, which has enabled us to achieve revenue up by 7.3%. Operating profitability, up 3%, notwithstanding the major impact of motorway tax because if it hadn't been for that, it would have been up 8.2%. Net income, up 2.8% and 9.2% if we exclude the motorway tax. The very significant point is indeed the very strong cash flow generation, which quite apart from our good results is also underpinned by a very good WCR for the construction business. And finally, the visibility of the group has been further strengthened with the growth of 11% of our order intake. With all this, we expect for 2025, an increase in our business and of our ordinary operating income, both in Concessions and in construction. The Energy Systems division should achieve -- should post revenue close to €8 billion and operating margin that could be as high as 6%. Net income group share will be up at constant tax levels, but down after the exceptional contribution from large companies in France in 2024. Against this backdrop, the Board will be recommending a dividend of €4.7 per share, up 15%. And from 2025, a payout policy of 45% of the net income group share. Thank you very much. And Christian will now give you some details on the financials prospects.
Christian Cassayre: Good evening to all also. As usual, let's enter the financials with a few photographs essentially figures, a lot of numbers to start business growth. Once again, in 2024, 7.3% on a par with 2023, we're at plus 7.4%, and we said that it would be less sustained in its organic momentum in 2023, that's the case, but we do have organic growth of 3.7%. That's far from negligible. It was 50-50 achieved between organic and external growth. So all in all, 7.5% growth in contracting, 6.5% in concessions. We opted this year, represented the full year and our five-year history to raise the year 2020, which is not really useful for comparison purposes. We'll return to five years next year. On contracting major disparities by business marked since 2023, our return in the operational review of divisions, regular growth of contracting in Europe, up 16.8% over three years. It's plus 68% Europe outside France, achieved three quarters organically. Operating profit on ordinary activities up 3% on spite of the tax on motorways for some €123 million that displace the operational performance at constant tax operating profit up 8.2%. The operating margin contracting is strong 4.3% up 30 basis points, that mechanically increases contribution of contracting to operating income of the group by 14%, €100 million concessions. Shrinking margin is largely attributable to the new tax on motorways and an amortization expense that is growing at APRR as anticipated. We saw last year already with this increase in the amortization. On the holdings since 2023, we include noncash expense supplement linked to the new calculation IFRS 2 for group savings plan, fully booked on the H1 in construction declined activities, limited 6.6% limit, we need to compare this number to the decrease noted midyear, 11.4%. It was still 11.8%, 30th September. Q4 was up less so. It should be the case in 2025, double effect, the landing of new housing returned to its level. And secondly, contribution of Nové that will increase in '25 and '26. In the decline in context of revenue that I mentioned, we can underscore the resilience of the operating margin of Eiffage Construction linked to good control of execution of our building sites. France and Belgium, a contribution that remains positive in spite of the real estate crisis coming in at €41 million EBIT as compared to €59 million in 2023. €41 million, that's an operating margin at 5.7%. That's very commendable. So really, the watch word Eiffage Construction is really good to lie on this integrated model developer construct -- developer and to remain selective in contracting what's more order book, as you can see at the bottom of the slide has grown in visibility. We saw examples of that in '24. A chart here, the Eiffage Construction head office in Belgium [Lassus]. The renovation instead of building new we've opted for this sustainability approach with a waste recovery rate that's above 70% during the construction phase. I mentioned that metric. I want to describe each of our activities through recovery initiatives, this rate is one of the data points of the sustainability report. The famous CSRD that you find on our site, it's the sustainability metric that we roll out. It's a key challenge for our businesses, and I'll mention that in our various activities. In the Infrastructure division roads flat as we've seen less road maintenance, more urban development and private contracts. Civil engineering in France, first of all, the Toulouse Metro work site, we saw a shot in the startup parity works, a partly more than offset the reduced activities on the Greater Paris Express that nevertheless generated €285 million in revenue in 2024 Civil engineering in France is up 8.6%. Internationally, still in civil engineering growth is driven by our major projects HS2 in the U.K., the E18 autoroute Norway, whereas our business franchise in Germany and Spain are flat. Lastly in metal, you see an activity dip in France phasing, final phase of the floating offshore wind contract that its metals up 13% internationally still driven by offshore wind and also by structures that we're building in Germany. Operating margin slightly up 3.3% due to an increased contribution of metal projects and visibility remains strong, thanks to the major projects addressed end of 2023. Also, the orders that we secured in 2024, bringing our order book to above €15 billion. Photograph here, one of the [indiscernible] is our subsidiary that dismantle [sorts] recovers waste 142 job sites in 2024 with a waste recovery ratio, 95%. The target by 2030 is to achieve waste recovery of this mantle is up 99%. Energy Systems, organic growth remains the key driver and a major driver for the business line, 9.7% in '24 organic growth 8% in 2023, 7.7% in '22. So these are pretty substantial figures when we add the acquisitions site that it brings growth in 2024 to 21.3%. Largely focused on Europe outside. France, our German capabilities changed scale. As was said, that's what we're also achieving more progressively in the Netherlands, where in a few years through successive acquisitions. We've gone from €150 million in activity when we entered the Company with the acquisition of Kropman to some €400 million, a very impressive track record in Spain. Through internal growth, we crossed the €1.1 billion activity with high levels of profitability. And our profitability is up 40 bps this year, thanks to market momentum, quality of our business francise and best control on the fine construction projects. The order book is heralding a further year of growth, less sustained than in 2024 because of the base effect, lesser contribution of acquisitions. What about the audit book, companies acquired in 2023 account for €1.4 billion and the €8.2 billion of order. Without those acquisitions, our book would have been up 6% here a shot of Cestas. Why Cestas is because we've entered a maintenance -- tenure maintenance phase with this solar plant. And so we're changing the parts, 132 tons of electrical electronic waste and recovered to tune of 85% this year, and we'll be replacing 50,000 parts by 2026 that will be reused externally. Turning now to Concessions. With this slide we're showing at the request of some of you since last year with the list of our concessions portfolio. Consolidated through global integration. You have the end date for each of our assets. And the bottom chart shows that, henceforth, we have a contribution of concessions and PPP, excluding a PPR to some 20% of revenue of this division. It takes into account the consolidation of ADELAC by global integration and, of course, Getlink that's consolidated equity here. We're operating subsidiaries that maintains the high-speed long Brittany and [indiscernible] with an action plan to improve waste recovery on the scope of the concession. We've got great results, recovery rate of waste above 46% in 2024. We focus on APRR -- traffic on APRR and AREA recovered well in H1 to end the year at plus 0.3. We were at minus 0.9 at the end of July. EBITDA margin is no surprise, significantly impacted by the tax on motorways, [indiscernible]. Otherwise, it would have been stable at constant attacks that, of course, impacts EBIT in the same proportion. And as regarding the EBIT, the trending increase of amortization, 32% 2024 versus '23 consequent of a shorter amortization whenever we introduce one of our major investments because the deadline is, of course, the end of the concession. And of course, the other part of motorway concessions since our meeting in August, we're active in terms of financing, September [indiscernible] 10 years at 3.125. And very recently, we refinanced the loan of the APR control for some €900 million and the undrawn CF APR, and we reduced the size of that to €1.5 billion. I'd like to take this opportunity to thank the 17 banks that were involved more specifically, their representatives most of whom are with us this evening. My thanks to you all. Turning now to our assets side from APR for the A79 in the €50 million, we have the revenue of the service areas that's up and this operation of service areas of course, very profitable for the rest. You see the margin -- EBITDA margin concessions, very satisfactory, 80%, if not more. In France, on the right, the contribution of concession to operating income, an increase of some €100 million over 2023. If we exclude the motorway tax mentioned previously, final part of our concessions Getlink, we've incorporated in our results in 2020. €24 million of Getlink. 3/4 share of net revenue based on the consensus of €246 million. That's €50 million because we're waiting on the publication of the Getlink. Accounts remaining earnings of some €6 million down. The amortization as the goodwill, €13 million per year. The contribution of Getlink in cash is above the [indiscernible] €62 million. That's the dividend that we received from Getlink, and we remind you the key numbers, 100% on the right. Turning now to the financial statements. Probably very little to add on the operational front. A word on the financial cost of debt is contained. It's only up €6 million, whereas we consolidated. ADELAC that brings back some financial expenses at €21 million. We're down €15 million. All the things being equal, and that's on the Millau Viaduct capital indexed on inflation as inflation is down to fixed cost adjusted. All the products and financial expenses, we had a profit of the revaluation of Getlink, €33 million that needs to be restated for comparability purpose. The other item on taxes, corporate tax that is up to €612 million dual effect of the increased profitability, of course. But of course, the nondeductibility. The motorway tax which brings our effective tax rate to 29.4% against 26.7% last year. Net income, €1.041 billion, up 3% and over 9% constant tax basis. Net debt shown in the usual form with the 2023 reminder, EBITDA up €125 million. The increase would have been double without, you know what? We have isolated the dividend flow received from company's consolidated. Equity essentially Getlink €73 million, the seasonal change of WCR generates a lot of cash, thanks to growing order book and some projects that contribute more. That's probably a record interest and tax paid higher than those last year, particularly for taxes, by some €100 million leading operating cash flow in grid of over €3.7 billion, up €400 million. Investments contained in contracting in spite of increased activity, an increase of CapEx on our concessions concerned, essentially and Nove contract is ramping up in construction. Of course, that's reflected in Concessions CapEx, total investment flow over €1 billion as in '23. Free cash flow, once again, record €2.6 billion, once again up this year by €360 million. So a good operating performance earning and WCR. In spite of the new tax on motorways, this free cash flow is financed External growth significant this year, €900 million over and above the major acquisitions mentioned by Benoit, there's still smaller acquisitions and the buyback of minority interest. On Slide 3, we strengthened to the tune of 0.5%. The capital of APRR. Firstly, we extended our stake in the [indiscernible] to 70%. We're now own 70% of smulders against 84% previously. And then the final flows are the capital transactions make up of course dividend paid through our minority shareholders. APR paid by Eiffage shareholders place on €400 million and share movements. Treasury stake that's increased to 5.8% at the end of the year versus 4.1% at the end of 2023. Net debt down by €500 million. This debt of €9.4 million we like this chart in black without recourse down €120 million at €10.8 billion and €1.3 billion available cash in the holding company and in the contracting division. Thanks to good operating performance of contracting dividends received from concessions also allows us, of course, to maintain all requisite financial agility after €900 million acquisitions, while significantly up in the dividend and having reduced our debt by €500 million final point, order book its composition was illustrated by Benoit's point, what's notable, it's up across business lines incorporates to tune of €1.4 billion, the book of newly acquired companies in 2024. The growth in the order book of companies that were already in our scope in 2023. That represents 6%, reflecting the good organic momentum that I mentioned at the outset of my presentation. That's for me -- for me on the financials. So let's move to Q&A. Thank you.
Q - Unidentified Analyst: Well, first question for Philippe. Could we have the forecast for APRR traffic, please.
Philippe Seitz: Well, I'm delighted. Can you hear me? Well, what can we say on the traffic at the beginning of the year, the trend is positive. And due to two specific factors, we have a favorable base. Firstly, the farmers crisis, which had a significant impact on our traffic between the 20th of February and the -- 20th of January and 10th of February 2024. During that period, there were many blocks on almost all of our network, the second special factor. You're aware of the lack of snow of low and medium altitude ski resorts, and you know what the impact has on AREA and APRR during the skiing season, specifically February of this year is not yet over, but I think we can forecast at this point, growth at the end of February of plus 5% to plus 5.5%.
Unidentified Analyst: Well, that's a good answer. Indeed -- the second question, there's a major effort on the dividend. And on the payout policy, just one clarification -- if in 2025, the net income is down, you said it will be down after tax. But if it's down, and the 45% are not enough to protect dividends versus 2024. Is there some margin, nevertheless, for protecting the payout ratio?
Unidentified Company Executive: The interpreter cannot hear what Benoit is saying, unfortunately. The interpreter cannot hear Benoit answer to the question. Unfortunately, the interpreter cannot hear Benoit's answer to the question. And we cannot hear Christian in the room. The interpreter cannot hear Christian in the room.
Unidentified Analyst: Next, I have a question on construction. The margin is down slightly due to housing now on the housing segment. Can you see an end to the decline? Do you see the situation stabilizing?
Benoit de Ruffray: Well, I'll hand over to Olivier to answer the question.
Olivier Berthelot: It doesn't look great. It's reflecting the general state of the property market. I'm sorry. Sorry about my voice. I'm very sorry for my hoarse voice. Of course, we've come out of 2024 still shows a decline in the property market, the housing market. And in 2025, the outlook is still very uncertain. There's economic uncertainty, political instability, which obviously weighs on both companies and households. Constraints on use of land on the acceptability criteria for more dense urban planning. This obviously is -- makes things more complex. Of course, there's some reason for optimism. First of all, there's a need for housing, which is still huge in France, and there's going to have to be an answer response to this. There are also some signals, lower interest rates, measures that have been taken in order to improve the ability to purchase property. So against this backdrop, we forecast stability of our real estate business in 2025. But the improvement will probably only come in 2026 after local elections. So we're looking ahead, looking to the future, we're quite optimistic. We're preparing the future -- for the future with two strengths. First of all, our model. As you know, our model brings together know-how, both in construction and in real estate, which means that we really can be a player in the transformation of the property market for durable housing. And also as planners, this makes a difference, of course, in the housing shortage that we see at present. Vehicles with the local and regional authorities, we can sit down with them and look at regeneration, urban regeneration. And I think we're quite confident on our growth, but obviously, it's going to take some time. Thank you very much.
Unidentified Analyst: Working capital requirement, excellent performance again last year, Christian, is that something that can be sustained, do you think?
Christian Cassayre: Well, it's very difficult to forecast. That part of the flow comes at the very end of the year. And some of it's link to the size of the order book. When the order book is growing, then obviously the WCR is growing as well. So we happen to adjust depending on our order book, we have some positive developments some with WCR, which with longer-term contracts, we not looking at any short-term exits, but there may be fluctuations to the tune of €100 million. No particular alarm signals, but at this early part of the year, we think it should be stable if the order book remains as it stands by the end of the year. So it's actually quite difficult to focus. Thank you very much.
Unidentified Analyst: CIC, first question on free flow on area. Do you have any feedback from clients? Do you have any negative feedback from clients? Do -- is there any risk that you may have to go back on that? And also on these free flows, how much of this crossed? And how do you achieve profits on this kind of flow?
Benoit de Ruffray: Well, Philippe is just so keen to answer your question, I'll hand over to him.
Philippe Seitz: Well, you're referring to A79 rather than AREA. And AREA there is a free flow part on almost three quarters of the network. On the A79, we're -- it's in full, it's fully under control technically. We had some difficulties initially. We started in November 2022. We initially encountered some difficulties because we were the only motorway company without any barriers in an ocean of motorways with Paris. We communicated a lot. There were many billboards providing information on the program. And if you compare the number of phone calls that we had between 2023 and 2024, the inquiries were down by 50%. So we're beginning to have a positive response from our customers. And the opening of the A13 and the A14 improves the customers' understanding of this new model, which should be rolled out far more over the next four to five years. And I had experience on the A79. So I was a bit surprised, but they were -- they caught up with me after a few days. Well, indeed, yes, they're about your one of the 10% of clients who don't pay immediately.
Benoit de Ruffray: Well, well, Eric, just to ask for the badge. And that will make life so much easier. But what I might add for the benefit of the teams they established. I mean, we really do provide support. I mean, the some people are so far from electronics from their bank account. So there's very strong social support from our teams, and that's part of the effort for the entry point. And our teams have set up a partnership with [indiscernible] providing facilities whereby at a tobacconist, there's no problem at all. You can go into tobacconist and pay and that greatly helped with the understanding of the system. I think that was a good solution because others have followed suit.
Unidentified Analyst: A question on APRR. Looking at all the comments in the press on investments for the motorway concession companies. Could you recall -- could you help us with what we should put into our models on investments between now and the end of the concessions in 2035 and 2036 on APRR and AREA? And tell us whether there's any risk of a surprise investment on both of those assets?
Benoit de Ruffray: Well, Philippe won't be around to negotiate. So I think we'll hand over to Cami to answer the question.
Camille Bonenfant-Jeanneney: Well, indeed, 2035, 2036, well, that's in 10 years' time. And as you know, we're not the first on the list for renewal of concessions, but we've decided to launch this year, negotiations with the French authorities to start these discussions and negotiations. Well, we're not starting from scratch at present. We have good follow-up from the Ministry on the state of heritage, on the structures, the road since 2007. Since 2013, the Paris penalties, but we've been up until 2013, there were penalties. But since 2013, we've been meeting the criteria. And against this backdrop, we're very confident that we will be able to find a balanced agreement with the French authorities, and we'll give back the infrastructure in very good condition by the expiry of our concession.
Benoit de Ruffray: So we -- well, -- so I'll be like filling now. I can tell you that we've invested €280 million on our -- in our motorways in 2024. And in 2025, we should be around €300 million and €350 million next year. So that gives you a short-term view to give you some idea and namely, of course, we'll continue to invest in our motorways in particular for upkeep and also in terms of the mobility investment plan negotiated with the government in -- to '23, so that we meet our objectives.
Unidentified Analyst: And one last question, if I may. On Eiffage Energy Systems in the pipeline, of potential acquisitions for Eiffage Energy Systems. How do you view the pipeline? And in terms of multiple acquisitions, do you expect inflation? Or are the multiples still under control?
Benoit de Ruffray: Well, regarding external growth at present, we've just made some significant acquisitions. So the priority now is integrating them and dealing in particular with Germany. We don't have any specific plan. We don't have any new countries in our target. But we might go for a potent type acquisition, to extend our presence in countries where we have a presence and also to complete our offering in all four segments of the business line. In terms of multiples, these vary depending on the size of the companies we acquire profitability. As you've seen, we had -- we posted major growth without impacting the margin. So we're extremely vigilant in terms of our targets. We tend to buy basically profitable countries. And of course, there are differences in multiple, depending on the size of the Company, their business, the countries, et cetera. So there's no general rule to derive from this. To be a bit more specific on the multiples, the smallest companies were looking at low multiples because you have to integrate structure. It's about five or even below for a very small company. The biggest, the largest that we've acquired this year, 8x to 9x is EBIT, not EBITDA. Because for contracting its EBIT the right metric, 8x for the largest acquisitions, not the medium-sized ones. For a company of a reasonable size structured organized, easy to integrate, if it's ever easy to integrate.
Unidentified Analyst: On the great German slide that you showed us on Salvia growth. Would it be possible to display it again because, unfortunately, it's not in the book. It's a bit of a shame. It showed the revenue of both, it's a crying shame that you didn't leave that German setup that's pretty interesting. It's a scoop for Eiffage that was kind of running behind on that front.
Benoit de Ruffray: Well, the territory of the photographs. No, there's a great map with the German locations of Eiffage Energy, we should be able to show you that the principle that we're seeking the energy systems, we have four major markets. We have everything we do for industry, for infrastructure. In general terms, what we do for tertiary buildings and then services to local authorities. So these four major markets, the fundamental goal were in a country fundamentally is to be in a position to respond on these four major markets and then be sufficiently dense in terms of local presence as to capture from the smallest to the largest project. That's how it happened. Germany is a good example. It's a case in point, when we had entities essentially on tertiary and where we acquired Salvia, we changed dimension on tertiary services to local authorities, but wasn't at all present in the infrastructure, market allowed us to acquire, because it's a pure player on these infrastructure markets that are very significant this date because of the green transition -- energy transition in Germany, we need to set it up. We need to integrate it and get the markets respond to clients in turn. That's going to be the job of the teams structured. All good order of magnitude of the margins of the two companies acquired before restructuring and acquisition costs. So what -- there's no restructuring. Lidovic said as much. We're not seeking to acquire companies that are in difficulty. Our management capabilities did all this effort. We're really looking for companies where we have an understanding of the organization ability to have a kind of a cultural -- good cultural fit that's going to facilitate group integration, but we want things that are in a good state of repair and then, of course, for that small companies that happens naturally. But today, we don't have the human capacity take companies that are in difficulty to turn them around in short or slightly longer time frame. So these margins that have high -- the markets with high and it's accretive. Well, the setup is being bolstered in Germany. We have a small company that's going to be joining us post close, that's €32 million in revenue. Dito the same thing in the Netherlands and fundamentally on countries that we've picked in terms of strategy. Belgium, Luxembourg, Switzerland, Germany, Netherlands, Portugal or Spain. The ideal set up is to be able to operate in these four major markets, have dense country coverage to be permanently present, including for long-term maintenance as to be able to respond is to end up in the four major -- four or five major players in energy services in these countries. That's what's happening in France already underway in Spain. It's what we're currently working on in the Netherlands and the same goal for Germany. These are markets that are moving fast. We're only a few players that are consolidating. So obviously, we want to be part of that consolidation process. Germany, we discussed it through our existing structure. We didn't have the managerial effort to take a bolt-on in Phase 2. So we need to acquire more structured companies and it took two for the four major markets because we didn't find any of the covered all the four markets. Now we do. We have that. We integrate, we get organized with the bolt-ons later to cover the country with a few more dots than you see on the map.
Pierre Rousseau: Pierre Rousseau, Barclays. Well down for these good results. So a question about -- on France. Over the years, we've had various promises from the infrastructure world to up funding for transport infrastructure recently, the CapEx then for RT. Could you give us your insight in the current budget context on what is possible, probable and what's the most interesting for Eiffage?
Benoit de Ruffray: Well, we often -- we're often asked about the underlying dynamics of our market. Now if you look across the board, and this came out clearly in Christian's presentation of the figures, you can see that local authorities sometimes in -- sometimes have healthy finances, but I'm very concerned about the future and the subsidy from the state, they've lost their basic landmarks. So we -- they're far more wait and see even before and looking at roads, if you don't have the private sector to support road construction and projects with European subsidies for collective on public transport, then our businesses will be going down. Conversely, the deep state, if I may use that expression, in military terms, in defense is a major investor. And it's an example, they've used the concession. So what's being done for -- you have new weapon systems in France which are coming to maturity. So when you have the new submarines of the Barracuda class to which you have to house for the group, for our energy system, this led to a major contracts and this also for our civil engineering because we had to completely change our infrastructure approach for these new submarines. And you have the same thing with the new nuclear aircraft carriers will need massive infrastructure investment. Similarly, you have all the French nuclear deterrent where you consistently have a major investment, looking at defense without the will to invest in munitions, ordinance, both in France and Germany. Looking at the secure plan, about which much has been said. Well, we don't hear so much about it now, but we have never had so many projects for extending -- existing hospitals, building new hospitals. And these are all done on the tender. And these political decisions made some years ago, well, the process that was explained very clearly by Olivier in terms of having plumbing permission, et cetera, leads to all this. And nobody is challenging the -- even with the current state of public finances that investment will go ahead even if it goes had a bit less quickly, the prison investment plan is something that's very active at present. And I could continue with a list of examples. There's no calling into question of this -- maybe it will take a bit longer. The Grand Paris Express, nobody talks about this, but this is the biggest infrastructure in Europe, which has completely revolutionized the La Defense region and after its initial phase, we're now in the second phase and others to come. These projects that will keep us busy all the way through to 2030. So none of this is being called into question. And I think that, that will continue. So the real instability as far as I'm concerned or the wait and see attitude is more on the part of local authorities. And if I take it a step further because it's not just France, you could have a similar view on the rest of Europe, where you have similar -- very similar phenomena. And if you look at the will to invest driven by Europe on the green, the energy transition. You have projects with increasing investment in growing by a factor of two, all the way up to 8x depending on the countries. And quite frankly, we don't have the human capacity to go faster that. So if it goes a little more slowly, soon, and it's rolled out a bit more slowly as far as I'm concerned that's actually quite good news, but I don't think that calls into question the will to invest. I think the depth -- the quality of the markets in which we're operating is extremely deep. And if we were to look at those major trends, then we could say, okay, you think about the energy system business. But in the civil engineering, even in construction with all the renovation, I spent the whole spectrum of our construction business is significantly impacted by this major trend, which may take a bit longer to roll out, but I don't see the trend itself actually changing. Thank you very much. Sorry, I didn't answer about RTE. There are indeed very significant CapEx plans for the future. We are responding to a call of a tender for the electrical substations to host the new wind farms. These calls for tender are underway, as I speak. Again, the need in terms of distribution of electrical networks in Europe and the real challenge is where are all the men and women you need to keep up these investments in the major European countries we're talking about. And the group is fundamentally a European group. So the current geopolitical debate does not impact us directly because our footprint is very consistent. Because all this fundamentally is the rolling out of our of -- European policy across the EU member states. Thank you very much.
Pierre Rousseau: And perhaps a question on the electrical power for the heavy goods vehicle system, is that will be going to be the main option? And what's your business model for those charging -- for those stations?
Benoit de Ruffray: Well, we're not on a rollout business model. We operate motorway concessions where we must be able to receive our customers. And so the development isn't huge, but there are already trucks, buses, coaches on our network. We had to accompany that it's done with sub concessions and pure players. We have an obligation in our contracts to operate via subconcessions to open up the market that we don't possess the business model, but the ability to plan organized, do the engineering to make it possible as part of the obligations to receive and serve our customers and solutions such as having catenaries along the motorways. I mean is that on the cards or not? We're not yet the choice stage of the type of electrification for heavy goods vehicles, because it requires an agreement across Europe on a single model between induction, catenaries, rails, charging stations. We're kind of feeling our way. People are trialing and experimenting, but the jury still out in Europe because heavy goods traffic isn't just Franco-French, it's clearly European. So it will be absolutely necessary for all European countries to agree on the model, which is not yet the case today. Thanks.
Unidentified Company Executive: Do we any further questions in the room? If not, let's see if we have any questions online.
Operator: [Operator Instructions] The first question comes from [indiscernible] Stifel.
Unidentified Analyst: Two, first questions on the Infrastructure division. I saw there was a slowdown in H2 in civil engineering and metal. I'd like to know what your vision is in 2025 for that division, also subdivisions activity and margin? Second question has more repetition. But could you repeat your answer to the question. On dividend in 2025 if the earnings were down because the mic was off?
Benoit de Ruffray: Sorry, that was an unfortunate error on my part. So payout in 2025, I think it's sound to generate the earnings before deciding how we're going to distribute it. We're focused on that, of course. And depending on 2025 will factor in your questions when we discuss all that with the Board of Directors. On the first point, on Infrastructure division, the metal, there are great many major projects that make up and contribute to consolidating the revenue of the different metal infrastructure the three business lines. And depending on the phasing of the major project, of course, you have a significant impact that I'll just mention one. Overall, we've completed all the part done by civil engineering in the Greater Paris Express where we were very active on the big project of Line 16, but also on Line 15. All that portion is now completed. And the significant activity was considerable in H1. It wasn't the case in H2. And of course, that impacts global consolidation. In the meantime, we have our new contracts in the Line 15 East that picked up for €2.54 billion for the group. This year, we're doing essentially the design work. We only just begun the physical work at the end of last year. So you see the phasing of that work has an impact, but the overall vision is it will continue to grow for civil engineering next year. Road, it depends far more on local authorities. So we're expecting a kind of stability in its activity. Then we got metal construction. The final segment, we have great many major projects, the second, I think we discussed that six months ago is that we can capture market growth only with investments in our plants. So there's no linearity in -- an increase in our industrial capability. Today, we've bolstered our presence in Netherlands, in a yard that allowed us to capture a bit more growth than we're going to say growth on these businesses next year. So expect growth for infrastructure after. And then the profitability, it's too soon to say, but it won't be major if it will be plus or minus 10 basis points, but don't expect much more than that. Thanks.
Operator: The next question is from the conference in English from Gregor Kuglitsch from UBS.
Gregor Kuglitsch: I'll try to be brief. So I just want to summarize what you've said so far on the segment. So I think I heard you say on energies, do you think you can make around €8 billion of sales and 6% margin in '25? I want to check that, that's what you said. You just answered the question on infrastructure and construction. Are you saying sort of stable volumes and stable margin? Is that your message? So just sort of if you could summarize the sort of comments you've made on the three different contracting segments, please.
Benoit de Ruffray: Infrastructure, we've spoken about it. On construction, what we said is that we expect growth in revenue. You saw that with the order book and the step-up of the Nové contract will generate an increase in revenue. There's always -- we're always stood at a low point on real estate, but I think the stability of the margin in itself would be a good result, and you never know. Olivier, maybe we'll do a little bit better on the Energy System business. I think Ludovic confirm what has been said. I mean we've said so, so we're going to do it, right? Well, we've committed in writing. So we're going to stick to that in the various businesses, excluding Energy, all the average order -- big order book is up. We expect growth in the various businesses in 2025. That's our forecast.
Operator: The next question is from Luis Prieto from Kepler.
Luis Prieto: Just a couple of questions from me. And I apologize in advance if this has been asked before, I had a technical glitch. The first one is, as of late, we're hearing a lot on data center construction more interestingly on peers of yours being interested in deploying equity in these products. So my question is what your current stance is on the possibility of investing equity in digital infrastructure? And then the second is, you're currently at 27.6% of voting rights in Getlink. What is the next step? And what purely hypothetical scenario could you adopt a more ambitious stance on your exposure to Getlink and even consider a bit?
Benoit de Ruffray: So regarding the data centers, we have no ambition to operate in equity to be an investor on data centers. It's not business that we master or we're familiar with. So we've got no plans to invest in those. But however, we are player in construction business for data centers in several ways and not since last year. I mean it's for a fair while we were operating on far smaller items because that's how the market was structured. We're also active on operational maintenance, you've got major electrical challenges on electricity, high low voltage and then also AC, climate control or data centers. Today, the market is evolving, as you mentioned, with far more substantial data centers. These are projects that are very significant in size, highly complex because you've got kind of redundancy levels that are very high testing commissioning levels that are very sick. As always, in major projects and energy. The key is to have the teams that are capable of delivering because nothing whatsoever to do with the kind of run of the mill ordinary maintenance operation. We're already active on medium-sized data centers. Often, we managed to enter by bringing in all our businesses. Our energy division is supported either by construction or infrastructure in civil engineering to do the roof of the building. But of course, the keys the technical lots with teams that can lead and plan and implement these very substantial projects. Today, we're active on one hyperscale, but when you mentioned of equity or that mean it's phased on 75 megawatts for each. It's very hugely demanding. We're very happy with what we're doing there, but we're careful because can't generate several teams that can deliver projects at some €200 million in technical lots. And if you realize that it's hugely exacting and demanding it's rarely done. We have the ability because we've done that in the past, we're continuing to ramp up. But our problem is a bubble to be convinced that we have the teams in place to be able to accept a project before taking except in the one that we haven't got the teams to cover. It's about 250 million activities globally on data set. Our ability to grow our human capabilities necessarily smaller than market demand. And so we're very careful to remain on what we can do and continue to ramp up little by little number of teams to operate on smaller data centers. We'll also do some in Germany, Belgium or Italy, but not hyperscale. It's the only place we're doing hyperscale for the time being is in Essen in the Paris region. Getlink, no change versus what I said six months a year ago, 18 months back. We're very happy with our investment. I think it's fully in sync with the group's strategy. It's a very long-term concession that calls upon businesses that we know and understand. It's very long term through [indiscernible], the harder territories where the group operates. So it makes a lot of sense. We've already said that we'd be prepared to strengthen, but we don't plan to take control. So it remains the case, and -- it's just issues of kind of price opportunity. You'll have seen in the past. On two occasions, we increased our stake because we're able to seize a block in financial conditions that we viewed as quite acceptable. So we remain keenly interested in this asset prepared to up our stake depending on market opportunities, but no more than that.
Operator: The next question is from [indiscernible] BNP Paribas.
Unidentified Analyst: Congratulations for the strong results. Just one question for me. On the future investment, what is your latest thinking? How you expect to replace profit contribution that might be lost when the APRR concession expires?
Benoit de Ruffray: I think you should go back to the slide. Now I understand that you're talking about reinvestment. Well, we've tried to explain, and we do this quite regularly on the four complementary reasons. Ways of strengthening our portfolio of concessions. And on what will happen afterwards. Well, all we can say at present is that our in relation to the public debate and the recommendations from the regulatory authority, these are public knowledge. The regulator is convinced that the concession model is the best model. He's pushing for shorter periods for more regulation with more -- with review clauses -- similar to the review clauses for airports and also the need to have additional investment. Now having said that, it's something on which there's a relative consensus among the different political parties. But of course, this is a debate that's kind of saying some time the idea of having a major conference on infrastructure investment. We're following this closest, but we can't really have a final understanding of what the future model will be before 2027, 2028. And at some point, we'll be getting so close to 2031, but we definitely will have to know what we can do. I'm still convinced that while the model in its risk-sharing component and a financial expense has many differences. But the fact that private operators will -- will remain in the concession business. I think that is fully understood. It's accepted in the public debate. And as we said, with the teams, the best way of displaying this is to show that we have impeccable infrastructure and that we're fully meeting the expectations of our customers. So to summarize, I'm convinced that after these existing concessions, how the risk will be shared, what are the needs in the investment terms, it's still far too early to be able to say.
Operator: Next question, Graham Hunt from Jefferies.
Graham Hunt: Yes. I'll just stick to one and I'll try again on the dividend point. I mean I just wanted to try and triangulate your net profit guidance, including the tax and then on the higher payout. I mean, should we -- can you reassure us that the [470] is the kind of flow going from here, barring any kind of exceptional event in 2025 and then the 45% payout is the target going forward? Is that how we should think?
Benoit de Ruffray: I think we've given you a pay policy, 45% of our earnings. We've often had discussions with our investors that was request for us to clarify our payer policy with the Board. We felt it was important to do that, and that's what we did, but it's not a flow, of course, it's not a flow. Of course, if there would be an exceptional tax depending on how the year has unfolded. We'd have that debate at the Board, and that's where that debate needs to happen. What's important in your models is to model this 45% payout policy. That's what's important.
Operator: Next question from Marcin Wojtal from Bank of America.
Marcin Wojtal: My first question is on your share buybacks. I see that your treasury stock -- right now, we said a 5.8% of the share capital increasing in the second half of 2024. I would be interested to know if you see room to increase your treasury stock further from here? Would you be opportunistic in your approach? And would you be, at some point, considering to cancel some of the shares? And my question number two, if you allow me is on your exposure to a nuclear project. Can you indicate what percentage of your backlog is related to nuclear right now? And do you believe that could be a relevant growth area for the Company for the years to come?
Christian Cassayre: Well, on share buybacks, you've understood since you've said so yourself, we've been opportunistic. We'll continue to be opportunistic. We're not going to cancel our share buybacks, and we're not going to cut back our treasury stock by 2027. And we're going to maintain that opportunistic approach.
Benoit de Ruffray: Now on the nuclear projects, several points here. For years now, we have recurring activity on the French nuclear network for our civil engineering and in Energy Systems and the investments that are needed on the existing French nuclear network to extend its life cycle will continue. And in actual fact, will be stepped up. So that part is to the tune of €100 million, €200 million, and it's going to increase gradually as time goes by. And after that, we have special cases with the new nuclear projects with the EPR 2s, which are standard €5 billion in our current order book. Any further questions? No, we have no further questions at present. Thank you very much. Are there any further questions in the room? Well, in that case, I would like to thank you all for being with us this evening. Thank you so much.